Executives: Angela Braly - Chairman, President & Chief Executive Officer Wayne DeVeydt - Executive Vice President & Chief Financial Officer Ken Goulet - Executive Vice President & President of Commercial Business Unit Michael Kleinman - Vice President of Investor Relations
Analyst: John Rex - JPMorgan Justin Lake - UBS Doug Simpson - Morgan Stanley Josh Raskin - Barclays Matthew Borsch - Goldman Sachs Christine Arnold - Cowen & Co.
Carl Mcdonald - Oppenheimer:
Scott Fidel - Deutsche Bank:
Operator: Ladies and gentlemen, thank you for standing by, and welcome to the WellPoint conference call. At this time all lines are in a listen-only mode. Later there will be a question-and-answer session; instructions will be given at that time. (Operators Instructions) I would know like to turn the conference over the company’s management.
Michael Kleinman: Good morning, and welcome to WellPoint’s first quarter earnings conference call. I’m Michael Kleinman, Vice President of Investor Relations. With me this morning are Angela Braly, our Chairman, President and Chief Executive Officer; and Wayne DeVeydt, Executive Vice President and Chief Financial Officer. Angela will begin this morning’s call with an overview of our first quarter results, actions and accomplishments. Wayne will then offer a detailed review of our first quarter financial performance and current guidance, which will be followed by a question-and-answer session. Ken Goulet, Executive Vice President and President of our Commercial Business is available to participate in the Q-and-A session. During this call we will reference certain non-GAAP measures. Our reconciliation of these non-GAAP measures to the most directly comparable measures calculated in accordance with GAAP is available in our press release and on the investor information page of our company’s website at www.wellpoint.com. We will also be making some forward-looking statements on this call. Listeners are cautioned that these statements are subject to certain risks and uncertainties, many of which are difficult to predict and generally beyond the control of WellPoint. These risks and uncertainties can cause actual results to differ materially from our current expectations. We advise listeners to review the risk factors discussed in our press release this morning and in our quarterly and annual filings with the SEC. I will now turn the call over to Angela.
Angela Braly: Thank you Michael, and good morning. WellPoint had a good first quarter of 2010. Today we reported adjusted earnings per share of $1.95, which compares to adjusted EPS of $1.62 in the first quarter of 2009. Our adjusted net income increased by 7.8% from the prior year quarter, due primarily to improvements in the local group and state sponsored business. Our results were higher than we expected for the quarter, and benefited from the less severe flu season than predicted. We are encouraged that our medical membership grew by 165,000 or 0.5% in the quarter, despite continued high unemployment levels, which reverses the trend of quarterly enrolment decline that has persisted since mid 2008. We achieved very strong growth of 536,000 members or 4.6% in the national business. Our continued success in this area, reinforces WellPoint’s leading value proposition in the market place. Due to the BlueCard program, we offer access to the broadest provider network in the country, consisting more than 80% of the nations positions and nearly 95% of all hospitals. We also have competitive unite cost, provide reliable customer service, deliver innovative consumer friendly products, and are continuing initiatives to enhance both the cost and quality of health care of our customers. We believe many of these attributes will continue to be valued in a changing market place and uniquely position WellPoint to respond to the changes forthcoming from the recently passed healthcare legislation. Fully insured enrolment declined by 400,000 in the quarter, most of which related to our UniCare subsidiaries withdraw from the commercial markets in Texas and Illinois at the beginning of this year. While we experienced continued attrition due to the economy in our Blue-branded commercial and individual business concern in the quarter, membership grew in the federal employees program and in our senior and state sponsored businesses. A delay in the conversion of a large municipal account self funded status caused our fully insured enrolment moment to end the quarter about 870,000 members above our plan. However this account converted on April 1, and our fully insured enrolment is now in line with our prior expectations. Our commercial membership continues to be unfavorably impacted by high unemployment levels, although the impact is not as significant as it was at this time last year. We experienced net unfavorable in-group change of 70,000 members in our fully insured Blue-branded local group business this quarter, which compares to the 160,000 number reductions we experienced in the first quarter of 2009. The weighted average unemployment rate in our Blue state is just over 10%, and we currently expect that it will increase slightly over the next several months before improving late in the year. Operating revenue totaled $14.9 billion in the first quarter of 2010, a decrease of 2.8% from $15.3 billion in the first quarter of last year. This is primarily due to a year-over-year decline of 5.5% in fully-insured enrolment and the sale of the NextRx CDM. We priced our business in an actually sound and physically responsible manner, and will continue to do so. Health insurance in a competitive, low margin business and ultimately all companies must price to cover their costs and risks. Earlier this year, our income Blue Cross subsidiary delayed scheduled and approved premium rate increases for certain individual members in California, in order to provide the Insurance Commissioner with additional time to review the rates. Due to this delay, our individual business in California is performing below expectations this year, and it lost money in the month of March. The premiums we charge need to be sufficient to cover the underlined cost of care. Also due to the increasing in popularity of high deductable products, which help keep premiums affordable for many individuals, rate increases in the individual market may often exceed underlying medical trends as a result of deductable leveraging. This occurs when deductibles are kept constant from year-to-year despite rising medical costs. Change in the age and mix of numbers we are serving further impacts premium rates. For these reasons we typically offer a wide verity of products and price points, to provide consumers with alternatives when the cost for their current plans rise. In many such instances consumers elect a new plan or a different set of benefits in order to keep their premium increases lower, while preserving the security of insuring themselves against a serious medical events. This is why the effective per member premium increases for our individual business was just over 5% in the first quarter of 2010, far below the percentage increases recently sighted by certain media. Our state sponsor business is exceeding our expectations so far this year. Reimbursement levels have increased for certain programs, and we are seen positive results from some our operational initiatives, including provider capitation arrangements in California. Our state sponsor business also benefited from the less severe flu season than we anticipated. State Sponsored businesses presented significant long-term growth opportunity for WellPoint and the industry. As the eligibility thresholds for most state Medicaid programs will expand in 2014. When adequately funding, Medicaid managed care can be a win, win, win situation for state, patients and managed care organizations. A state can save money by working with health plans that coordinate care and help beneficiaries access the health care system in a more efficient manner. We intend to continue to peruse opportunities with states that desire sound long-term partnerships with managed care. Earlier this month, we were one of four companies who received the notice of intent to award a contract to provide managed care benefits to 240,000 eligible enrollees under the BadgerCare Plus Program in Wisconsin. We look forwarded to serving these individuals. The positive track record for certain Medicaid managed care programs, illustrate that government can successfully partner with the privet sector to help manage their growing liabilities. As the first way that baby bloomers become eligible for Medicare next year, incremental strain will began to be placed on our nations financial resources. While Medicare advantage reimbursement was reduced for 2010, and will be pressured further as a result of healthcare reforms, managed care alternatives to the traditional fee for service program must be considered as a long-term option for delivering promised benefits to our seniors. Due to the reimbursement changes for 2010, our Medicare advantage results declined from the prior year quarter, but this was offset by improved performances in the Part D business. We are also the second largest writer of Medicare supplement policies in the nation, with 780,000 supplement members as of March 31, 2010. Our benefit expense ratio was 81.8% in the first quarter of 2010, a decrease of 70 basis points from 82.5% in the same period of 2009. The decline was driven by the local group and state sponsored business, and was impacted by the less severe that expected flu season. We currently expect our benefit expense ratio to rise over the balance of 2010 due to seasonality, as more of our members will sell deductible limits towards the end of the calendar year. We are also now anticipating a higher full year lost ratio for the individual business as a result of the rate delay in California. We have a number of programs that encourage cost effective delivery of quality health care. Among these is a new program in New Hampshire, where employees of a State’s largest city can now earn rewards for choosing more cost effective health care providers. There can be a broad variation in costs for the same service based on where it is performed as much as 250% for some procedures. Our voluntary program offers financial incentivizes to employees who chose to receive their care at lower cost, higher quality facilities for a number of high volumes, selective healthcare services, including out patient surgery, routine health cleaning and diagnostic imaging. The incentive program is not physician based, which means that members may not be asked to change doctors, rather the exact same surgeon likely can provide the exact same procedure in a number of facilities. The member simply makes the call to receive cost and incentive information for area healthcare providers. If a member chooses to receive care in a more cost effective setting, they qualify for finical incentives ranging from $50 to $100. We also have a number of consumer transparency programs that are designed to help members get the right care at the right time and in the most appropriate settings. One such program is the care compare service that was originally developed by WellPoint, and has since been expanded thought he Blue Cross and Blue Shield system. This online tool allows members to compare costs and quality metrics for numerous common medical procedures at various provider locations. The tool provides an all-in price for an entire set of care, which includes hospitals, doctor, laboratory, anesthesia and all other fess, while displaying selective quality factors such as the number of patients treated at these locations and procedure outcomes. With consumer friendly services like Care Compare, we are empowering individuals to make more informed health care decisions. Another example of how we can lower cost and improve quality for our members is a new partnership we have with Express Scripts. Our relationship is off to a good start and we’ve passed a significant milestone on April 1, by successfully moving 3.4 million members in 130,000 groups, from NextRx to the Express Scripts system. We are looking forward to a positive long term working relationship with Express Scripts over our 10-year contract term. In addition to optimizing medical costs, we continue to take steps to improve our own administrative cost structure. Our total SG&A expenses on $1 basis was 1.3% lower than the first quarter of last year, reflecting lower selling costs and positive results from our strategic initiatives to become a more effective and efficient company.
 : We are off to a good start in 2010, and have confirmed our outlook for the full year. While we experienced a lower that expected flu season in the first quarter, and are modestly ahead of our plans in some of the capital management areas. We are reducing our full year expectations for the California individual business. We are also now expecting higher costs related to the implementation of healthcare reforms, including coverage of dependent children to age 26 and higher taxes. As we announced earlier this month, beginning June 1, our affiliated health plans will automatically retained young individuals after age 26 on their parents policies into a fully insured group and individual health plans. Taxes were also increase in 2010, due to the healthcare reform legislation, in addition to the significant amounts we already pay. In 2009, WellPoint paid approximately $4 billion in federal and state taxes and assessments, significantly more than the adjusted net income we earned or the operating cash flow we generated. I would further note that in addition to what WellPoint paid the corporation, our 40,000 associates paid millions of dollars in federal, state, and local taxes each year. Regulations for healthcare reform implementation are now being written and there are many uncertainties to running these regulations, and our future operations and results are likely to be significantly impacted by reform. We will continue to assess the impact of the legislation, and will develop and execute strategies for continued success in the month and years ahead. We have the best asset of any company in our industry, and I remain confident in our ability to successfully adapt to it’s changing market place, and continuing delivering value to our customers and shareholders. Before I turn the call over to Wayne DeVeydt to discuss our first quarter financial results and current guidance in detail, I feel it’s important to comment on the recent allegations related to WellPoint’s coverage of women with breast cancer. To be absolutely clear, and as I stated in my response to secretary [Sevilla] WellPoint does not single out women with breast cancer for revision. In fact, we have more than 3000 nurses and clinical associates on staff each day, to encourage detection of breast cancer at its early stages, and to ensure members are receiving the best breast cancer treatments available. Their outreaches increased early breast cancer screening by nearly 300,000 WellPoint members. WellPoint also covers mammograms from members ages 40 and above, 10 years earlier than the guidelines published by the US Preventative Service for Services Task Force. We collaborate with leading industry experts for many of our breast cancer prevention and treatment program and we received accolades for our work and support of cancer care. Just last year, giving and participation in cancer programs earned WellPoint the American Cancer Society 2009 Corporate Impact Award, their highest level of annual corporate recognition. Needless to say, I was deeply disappointed that these allegations were being made without regard for the fact. I proudly stand behind our company and our associates and all they do to support WellPoint’s program and those we support through the WellPoint foundation, to improve the quality of healthcare for our members with breast cancer. Our goal is to make healthcare reform work for our members and for the country. This is why we announced yesterday that we would implement federal legislation regarding individual market recessions affective May 1, well ahead of the affective date contained in the legislation. Recessions while rarely used are one process, which sure employs to reduce fraud and protect members. The standard contained in the federal legislation requires insurers not to return policies, except in case of a fraud or intentional misrepresentation of material facts. WellPoint was the first insurer to enhance our practices, including being the first in the industry to offer a binding, external, independent third party review process that goes beyond our requirement in the federal law. We welcome greater uniformity among insurers in this area. There had been many misrepresentations and inaccuracies in recent days that have caused confusion among our members, and among the public generally about our policies in this area. We think our announcement will go a long way towards bringing greater clarity. With that, I will now turn the call over to Wayne.
Wayne S. DeVeydt: Thank you Angela and good morning. I agree we are off to a solid start in 2010. Premium income was $13.9 billion in the quarter; a decrease of $293 million or 2% from the first quarter of 2009, primarily due to fully insured enrollment declines, including UniCare’s withdrawal from Texas and Illinois commercial markets. Administrative fees were $953 million in the first quarter, up $11 million or 1% in the same period of last year, primarily due to higher per member per month revenue in our commercial ASO business, increased national accounts membership and revenue from the DeCare dental business that we acquired in the second quarter of 2009. These increases were partially offset by lower revenues in the national government services business. Other revenue, which historically consisted almost entirely of revenue associated with the sale of mail-order drugs by NextRx declined by $148 million from the first quarter of last year, reflecting the sale of NextRx in December 2009. The benefit expense ratio for the first quarter of 2010 was 81.8%, a decline of 70 basis points from the year of 2009. As Angela noted, the decline was driven by the local group and state sponsored business, and reflected a lower than anticipated flu season. Also, while COBRA enrollment remains elevated at approximately 2.2% of our fully insured commercial membership, the rate of increase in COBRA penetration has slowed relative to 2009. We continue to expect that our benefit-expense ratio will be 84.3% for the full year of 2010. Since the passage of healthcare reform, much attention has been paid to the minimum medical loss ratio requirements that take effect for certain of our businesses next year. The potential impact of these new requirements varies broadly and likely will depend on a number of factors. We will not be able to provide an accurate estimate of the potential impact until we gain further clarity on how the final regulations are required to be implemented. We are working with our industry partners to provide input as the guidelines have developed, and will provide more information about the potential impact of WellPoint when we gain additional insight into the regulation. We continue to place our commercial business, so that expected premium yield exceeds total cost trends; where total cost trend includes medical costs, and selling, general administrative expense. For full year 2010 we continue to project that the underlying Local Group medical cost trend will be in the range of 8% plus or minus 50 basis points. Overall, our medical cost trend continues to be driven by unit costs. For the rolling 12-month period ended March 31, 2010 inpatient hospital trend is in the low double-digit range, and is primarily related to increases in costs for admission. It is approximately 85% cost driven and 15% utilization driven. We are experiencing both increased average case acuity, as well as increase in negotiated rates with hospitals. Continued clinical management and re-contracting efforts are in place to help mitigate the inpatient trend increases. In some locations, contentious hospital negotiations have received media attention, as we are working hard on behalf of our customers to hold down medical cost increases. Outpatient trend is in the low double-digit range and is 60% cost driven and 40% utilization driven. Outpatient costs are a collection of different types of expenses, such as outpatient facilities, labs, x-rays, emergency room, and occupational and physical therapy. We are introducing new reimbursement models that help our members and customers hold down their costs. For example, we made changes to our physical, occupational, and speech therapy networks in California. We change the manner in which we reimburse therapists to move to a bundled payment rate, rather than the traditional free-for-service payment model. These changes in the way we reimburse providers support our corporate mission to make costs more predictable and healthcare more affordable. Physician services trend is in the mid single digit range, and is 40% cost driven and 60% utilization driven. We continue to collaborate with physicians to improve quality and performance programs that focus on clinical outcomes. Pharmacy trend is in the low double-digit range and is 80% unit cost related and 20% utilization driven. Increases in costs per prescription are being impacted by recent inflation in wholesale drug pricing. Pharmacy trends for the rolling 12-month period were also adversely impacted by H1N1 influenza activity, and a slow down in the release of new generic systems from the prior periods. The increasing use of specialty drugs is impacting our medical trend and we are addressing specialty pharmacy costs through our American Imaging Management or AIM subsidiary. We’ve had success in addressing high cost trends for diagnostic imaging through AIM, and we have now developed a program directed at high cost specialty drugs. This program helps ensure that physicians are selecting not only the most affective and appropriate drug, but also prescribing at the appropriate dosing level for the right amount of time. We are already seeing a reduction of 5% to 7% in trend for the lives under management. We also continuously evaluating our drug formulary to ensure the most affective pharmaceutical therapies are available for our members. Moving now to selling general administrative expenses or SG&A, the SG&A ratio was 14.8% in the first quarter of 2010, up 20 basis points in the first quarter of 2009. The increase in the ratio was due to higher outside service costs, primarily associated with our technology initiatives, as well as lower operating revenue in the current quarter, partially offset by lower selling costs, and reduced other operating expenses. On a per member per month basis, our SG&A expense declined by 1.3% from the prior year quarter, as it lowered our overall cost structure level this time last year, due in part to our strategic initiatives to improve productivity throughout the organization. There are significant opportunities to further reduce our SG&A costs and we believe in doing so, they become even more critical in a post-reform environment. Turning to our reportable segments, commercial operating revenue was $9.1 billion in the first quarter of 2010, a $264 million or 3% reduction from the first quarter of ’09, driven by fully insured membership declines in the local group due to the economy, and the transition of UniCare members in Texas and Illinois. The revenue decline was partially offset by growth in our self-funded National Accounts Business. Operating gain was $978 million in the first quarter of 2010, an increase of $76 million or 8% from the prior year quarter. The improvement was driven by the Local Group business and reflected lower flue related cost in the current quarter. The operating margin for the commercial segment increased by 110 basis points, 10.7% for the first quarter of 2010. Note, that we expect the operating margins for the commercial segment to decline over the balance of this year, due to the seasonality of our product design. Our consumer segment operating revenue was $4 billion in the first quarter of 2010, a small decline of $22 million or 1% from the first quarter of ’09. This was due to the loss of Medicare Part D auto signed membership, and was essentially offset by growth in the Medicare managed program. Operating gain for the consumer segment was $326 million in the first quarter of 2010, an increase of $107 million or 49% compared with the first quarter of last year. Performance in our state-sponsored business improved due to operational changes, increased reimbursement levels for certain programs, and a less severe flu season than was expected. Medicare Part D results also improved from the prior year quarter, which offset margin contraction in the Medicare Advantage program. We recently received the projected 2011 rates for Medicare Advantage plan, and will be adjusting our plan design and pricing to a line of expected reimbursement levels. The other segment reported an operating loss of $18 million in the first quarter of 2010 and there was an operating gain of $112 million in the first quarter of 2009. The decline in operating gain resulted predominantly from the sale of NextRx in the fourth quarter of 2009. Net investment income totaled $201 million in the first quarter, up 2% from the first quarter of ’09, due to increased investment balances. Interest expense was $99 million, down 14% due to lower overall debt balances and lower short-term rates. During the first quarter of 2010, we recognized net investment gains of $29 [ph] million pretax, consisting of net realized gains from sales of security totaling $48 million, partially offset by approximately $90 million of other-than-temporary impairments. As of March 31, 2010, the portfolios net unrealized gain position was $839 million, consisting of net unrealized gain of fixed maturity and equity securities totaling $577 million and $262 million respectively. Also, in the first quarter of 2010, we recognized an impairment charge of $21 million for certain intangible assets associated with the UniCare provider networks, a unit decision we made to transfer certain memberships and alternative network. Medical claims payable totaled $5.5 billion as of March 31, 2010, an increase of $37 million or 0.7% from the year 2009, despite the 2.6% reduction of fully insured enrollment. The medical claims reserves established at December 31, 2009 are developing favorably and are in line with our expectations. Consistent with our historical practice, we have not included a reconciliation in roll forward of the medical claims payable balances in our first quarter press release, but we will do so in the second quarter. We continue to believe our reserves are conservatively and appropriately stated. As of March 31, 2010, days-in-claims payable was 43.4 days, an increase of 1.6 days from 41.8 days as of December 31, 2009. The timing of pharmacy claim payments added 1.3 days to this metric and a quarter and 0.5 days of the increase was due to a seasonal increase in claims payment cycle times. These increases were partially offset by a 0.2 day decline due to net other items. Note, that we have included reclassified prior period DCP calculations in our press release this morning. Turning now to cash flow and capital deployment. We had a net cash outflow from operations of $322 million in the first quarter, which was in line with our expectations. This net outflow was due to the $1.2 billion of tax payments we made in the quarter related to the 2009 sale of NextRx. Recall that we sold NextRx in the fourth quarter of last year, and proceeds were recorded as an investing activity on the cash flow statement; however, the tax payments related to the sale were required to be reported as a reduction to operating cash flow this year. First quarter operating cash flow was also unfavorably impacted by claims run-up in the membership transition in Texas and Illinois, and a reduction in Medicare Part D Low-Income-Subsidy enrollment. We continue to forecast full-year 2010 operating cash flow of approximately $1.1 billion, which includes the unfavorable impacts in the NextRx tax payments, and the claims run-out from the UniCare membership transition and reduction in lower subsidy enrollment. We utilized our capital to invest in our businesses and enhance returns for our shareholders. Year-to-date though April 15, 2010 we repurchased 25.2 million shares of our common stock for $1.6 billion, at an average price of $62.30 per share, and we are $2.3 billion of board approved share repurchase authorization remaining as of that date. We intend to utilize the majority of this authorization during the second quarter, with the balance to be completed by year-end 2010, subject to market and industry conditions. As of March 31st 2010 we have $3.2 billion of cash and investments that’s apparent to the company and available for general corporate use. We expect to receive approximately $2.3 billion of ordinary dividends from our subsidiaries over the balance of the year. We intend to utilize $2.3 billion for share repurchases, and we have approximately $400 million of debt and interest payments scheduled over the last three quarters. Our insurance subsidiaries maybe well capitalize and highly rated, with statutory capital levels $6.6 billion above state requirements, and $3.7 billion above Blue Cross and Blue Shield requirements as of March 31, 2010. This provides our customers security, that WellPoint’s company will be able to pay future clams even under adverse circumstances. Our debt to capital ratio ended March was 25.5%, up just slightly from the 25.3% at year-end 2009 and at the lower end of our targeted range. So we have good financial flexibility that we value in light of the current economy and the change of health benefits market place. We plan to continue executing on our share repurchase program this year; however we routinely evaluate with our board of directors various methods of allocating capital. These include operational investments, including internal spending and potential M&A transactions, the appropriate levels of leverage to maintain as an organization, and the manner in which we return capital to shareholders. As we gain additional clarity around the implementation of health care reforms, and it’s resulting impact on our future growth prospects, we will continue to evaluate our capital strategies. In summery, our first 2010 results were of high quality, reflecting higher membership growth and a less sever flu season than we anticipated, and we reaffirmed our earnings per share outlook for the full year. Specifically we now expect net income to be at least $6 per share, including $0.04 of net investment gains, partly offset by $0.03 per share, implement chare from the first quarter. This does not include any further investment gains or losses or impairment charges, other that those recorded in the first quarter of 2010 and it is subject to our ability to secure and maintain sufficient premium rates. Year-end medical enrolment is now expected to be $33.1 million, consisting of $13.6 million for the insured members, and $19.5 for funded members. Operating revenue is now expected to be $58.5 billion. The benefit expense ratio is expected to be 85.3%. The SG&A ration is now expected to be 14.6%. The operating cash flow is expected to be approximately $1.1 billion, including the unfavorable impacts of the next NextRx tax payments and the clams run out that I discussed earlier; and finally, our diluted share count is now expected to be 424 million shares for the full year. I would also like to remind analyst about the seasonality in our quarterly results. Recorded earnings per share for our consolidated enterprise are seasonally strong in the first quarter, and seasonally week in the fourth quarter, primary due to the fact that more memberships will be deductible towards the end of the calendar year. This typically results in a higher benefit expense ratio during the fourth quarter, particularly in our commercial business. While we reported a strong first quarter, we believe that seasonality will be even more pronounced this year though the continued growth of our deductible products. We are also anticipating higher costs later this year within the health care reform implementation, which would further magnify the seasonality in our quarterly results. I will now turn the conference call back over to Angela, to lead the question-and-answer session.
Angela Braly: Operator, please open the queue for questions.
Operator: (Operators Instructions) You first question comes from John Rex – JPMorgan.
John Rex – JPMorgan: My question is going to focus just again on, and thinking about assessing minimum MCR impact, and what I really want to focus on is individual and small group and if you can help size for us the impact of distribution costs in those med cost ratios that are reported. When I think about those segments, if one were to strip out the commission costs from the revenue line how much would your MCR’s change in those segments? And just if you can give us an order or magnitude, like how many hundreds of basis points in individual, how many basis points in small group would you see that flex if one to one consider those distribution costs?
Angela Braly :
 : A little bit by saying, first of all this is a lot of land, and obviously our customers are concerned and confused what health care reform means for them, and our commitment is to make sure we are taking the long term strategic view about what these changes may mean for them. So as we think about even the broker question; remember, historically the brokers have sold individual products one at a time, and they sell them across the kitchen table. Now they are selling them by phone and by Internet, but they have been a critical partner to us in that. So as we think about changes with respect to any of these implementation issues, we have to think about the long-term policy issues for us and for our customers. So with that, I think Wayne can be a lit bit more specific about that.
Wayne DeVeydt: Yes thanks Angela. John on the MLR impact, two things that we have been very public about; one is the range of outcomes that we did. Nothing varies much on the definition that we ultimately get, clearly around whether its defined at a consolidated level, a state level, or legal level, and of course how ultimately legislation defines what costs regarding health IT will ultimately be put in there. Of course as written in the law today, taxes are going to be taken in consideration. So there’s a variety of factors that come up with a range we publicly discussed in the past. Regarding commission rates though, I will say that we think the brokers are an important part of really the long-term stability of the health reform markets, and so we’ve been hesitant to really target brokers for anything in particular, because we really think this is a shared responsibility of all. It’s going to require not only payers, but it is going to require providers and brokers and members to also share in the responsibility of the healthcare cost and those percentages. From a commission perspective, generally individuals, commissions can be in the double digits in year one, but they generally trend down to the single digits thereafter, and small groups are lower than that. So that kind of gives you an idea at lest of some of the responsibility that currently lies within the broker community too, that we will have to work with on a broader view when we deal with occupation that will help to support this initiative.
John Rex – JPMorgan: So, when you think about kind of your average commission costs, whether this may be focused on individual and the understanding kind of getting started in the 20s and it comes down, but lets say if it averages a 10 or so; I mean is that the right way to think about it? What I’m just trying to get is, it’s not that I’m implying that broker costs or commissions are going to be stripped out of the calculation. It just seems like an important swing factor as we think about it and as we think about kind of what elements can change an equation, even how those are paid. So if I took an average individual product, and say it was running at a 70% loss ration, if I stripped out the distribution cost, would I essentially be at an 80, an 80 plus, does that sound right to you?
Wayne DeVeydt: Yes, I mean I think John if you are doing broad calculations like that, those numbers would work. Again though, the problem is that even doing that, that’s assuming more status quo, it doesn’t evaluate the fact that we will get changes for health taxes or account for on health IT investment. Its also important to remember that some of the commissions are paid on a fixed per head basis, not as a percentage of revenue, so that can distort the calculation a little bit, but I think if you are doing just the big picture math, the math is not unreasonable.
John Rex – JPMorgan: Are you contemplating moving away from embedding it in the commission and having the customer pay it directly, so its not included in the premium line?
Wayne DeVeydt: I think John, the one thing I would say is that because of the shared responsibility here, its going to be really important I think, that we really get to the intent of the health reform bill, which is to ensure members are getting full value for the dollars they pay. So we are considering all alternatives, but our goal is also to make sure that members get maximum dollar per value, not necessarily find ways around the law that is not our intention at all. So again I think there’s a lot of things we have to explore though, and I think there are models today though that really allow a member to really see how much of a dollar actually goes right to health benefit, and they can have third party brokerage, where we are not involved, and that’s one of many alternatives that we will consider.
Operator: Thank you and our next question comes from the line of Justin Lake with UBS, please go ahead.
Justin Lake - UBS: First question just on some of the recent state decisions on rate reviews and things of that nature. Wayne can you just give us an update on your thoughts on what happened up in Maine, and what’s kind of implied in guidance as far as the timing around California. Then just quickly, it seems to be very focused upon the individual markets, so I just wanted to see if you have seen any kind of chatter that this might leak into some bit of regulated areas like small groups.
Angela Braly: Justin, Wayne will get a little more specific than I will, but in terms of these recent decisions, I think we again have to keep in mind the longer terms, strategic implications of these decisions, and we’ve tried to do that all along. WellPoint stayed in Maine when everyone else left the Maine individual business, and we are really striving to make that a sustainable business over time, and we did that through a pursuit of the legal remedies and we will continue to pursue all the options that are available to us there. What we have to be careful about is we have very long-term strategic ideals in place and this is a very highly politicized environment in the short-term varying by state, and so we are going to try to keep the long-term balance here, think about the long-term policy implications, think about how we desire to be able to serve this group of members in the individual market, but we know we need to do so in a way that’s sustainable over time. So as we described, in California in particular, we will continue to work with the California Department of Insurance. Our current guidance does contemplate that we are going to have delays in the ability to assess these rate increases. We are going to work to get the situation resolved as soon as possible, and we have to give a 30-day notice to the rate changes in order to comply with the law once we have them. So, we do think that that is built into our guidance now. In terms of the question about, is it leaking over to other places -- in Massachusetts, there is some suggestion that small group markets would also be implicated by this kind of rate regulation. So, Wayne do you have some specifics to add there?
Wayne DeVeydt: No, I think Angela addressed most of it. Hi Justin. The only thing I would add is regarding our existing small group. We really haven’t necessarily seen much bleed into other states on this, and I think its been a challenging environment for us, because in both Maine and California, we are talking about rate structures that results in us losing money in the state. So these are very unusual times, and I think as Angela said, they are much more politicized in the current environment and we don’t want to make inappropriate short-term decisions for the long-term value of WellPoint, but I would say we are managing it, and we will continue to manage it and we have it baked appropriately in our guidance, certain delays that we would still further expect right now in California. We are considering all options though. I mean as we can look at Maine and we do have to consider all options, and we will evaluate those in the appropriate context and properly notify all of you at the right time.
Justin Lake - UBS: Okay great, and then just secondly in regards to results, obviously MLR is a little better, you talked about the flu season, can you just give us some color on two topics; one, what do you think the flu benefit was in the quarter, versus what you kind of had expected; and then second, in the consumer business, obviously state sponsored looked like it might have been a pretty good driver there. Can you talk about some of the impacts there on the Medicaid business? It sounded like specifically your view point on state sponsored might be getting a little bit more positive after some of the tough times you saw in Ohio, and a couple of the other states there. We try to be Blue and also work with states and a slow provider, as you should have there. So can you kind of just give us an update on your thoughts there, and is Medicaid becoming more of a focus for the company, thanks.
Wayne DeVeydt: Yes, Justin let me first address the flu. A little bit with state sponsored, these go a little bit hand in hand, because if you recall last year; while many Medicaid and these were being hurt by H1NI and other flu-related cost, we didn’t have the same impact others did, because we had done a number of changes in California, in particular our largest Medicaid market around capitaid arrangements. So in some ways when we have a higher flu season, it didn’t really hurt us, and we have a lower flu season, we actually benefit. So this year, our state sponsored is benefiting, not only from what I would call just really good management, and the team that we brought in there, and the changes they made, but we are benefiting also within the state sponsored because of the lower flu season. So, clearly state sponsor is a big driver, but I would tell you that when you look at our consumer segment that really all our segments are performing pretty well right now, but state sponsored is the primary driver within the consumer segment for the first quarter results, and yes, we do this is an important business. A business that is very clear that health reform will grow and expand, and that we are very pleased with the recent award of the Wisconsin Badger Program expansion that we’ll get late this year going in the next year. I think you will start to see WellPoint put more than just its toe back into the Medicaid in other states, and continue to expend. Now that we’ve reversed it I think we’ve got a great management team overseeing this group.
Angela Braly: And Justin, to your question about medicate, obviously there is going to be a significant need there. To help state manage costs. They are going to have significant obligation to their citizens, and we have lots of evidence of how we can get a better result for them and for the beneficiaries of Medicaid. As Wayne said, I think our team in Medicaid and importunely couldn’t be here this morning, and he could have spoken to it, but they really have figured out your question about, can you be Blue in these states providing this business, and we believed that we can. We can do that not just ourselves, but partnering with other non-WellPoint blue companies to provide these capabilities. So we are looking forward to those opportunities.
Wayne DeVeydt: The last thing I want to add Justin on the impact of flu in the quarters, as you know, there is no such thing as a flu code and so its generally been very difficult to peg an exact number, but when we try to take year-over-year changes in things we’ve seen, it could be anywhere in the $35 million to $50 million ranges. Somewhere in there is our best range of estimates of outcomes. I do want you to be aware too that we have assumed a normal flu season though in our guidance for the remainder of the year. As you know, generally there is not much of a flu season in the second quarter to begin with so, but we are going to assume for the third and fourth quarter that we do return to kind of normal flu levels.
Operator: Your next question comes from Doug Simpson - Morgan Stanley.
Doug Simpson – Morgan Stanley: Angela, in your comments I think you can mentioned the 5% rate increase on the individual. You talked about deductible leverage driving rates up more quickly than inflation, and there’s this disconnect, where the industry remains this attractive target and obviously it’s been a lot of unfavorable press. Just trying think here, what is the industry doing and what are you doing specifically to try to correct this, and what do you think its going to take to shift a debate away from the admin piece, which is a relatively small piece to the overall growth and underlying medical cost trend, which really hasn’t been as much of the focus of the last year.
Angela Braly: I think we have a number of initiatives underway to make sure that that message is understood. You are right we are being targeted and villainies. They are shooting the messenger, because in the messages we have to address the underlying cost, and that’s our job each and everyday. So as this implementation effort goes forward, and we are working on implementation and regulations etc, we are getting those facts out. I think the rover meets the road as people start to experience these rate increases. We are being very transparent about what the underlying costs are, and we are trying to use our tools like care comparison and other things, so people truly understand what the underlying unit cost is, what the implications are, more clarity around what does cause rate increases to go up in addition to the underlying trend, the things like deductible leveraging, ageing the implications of that on utilization. So you will continue to hear from us based on the data and information, the facts, we’ll get those out, and we’ll be very transparent in the process, so people understand what is driving up, rising health care costs, and as a result premium rates.
Doug Simpson – Morgan Stanley: Okay, and then maybe just thinking about risk versus ASO growth over the next five years, obviously a lot of changes coming in the market, but do you guys see larger employers potentially shedding coverage, moving from defying benefit to defying contribution. Can we look at the pension really seen in the 80s? Is that sort of a reasonable [day rate], and just how are you guys thinking about the relative growth, and broadly defined as risk versus ASO?
Angela Braly: Doug, Ken Goulet is here with us and he runs our commercial business. He’s working with our customers now and the issues and questions they have about health care reforms. Ken you want to address that?
Kenneth Goulet: Doug, it’s a good question and we are doing a lot of market research to make sure that as we make decisions over the next couple of years, we’ll be best prepared to win going forward. I would say the ASO fully insured transition will occur. It’ll be some transition of business from fully insured to ASO. I would however highlight that stop loss will become credibly important in the new world, and will be a fully insured business that will be a very active participant, because as customers transition and as there are no annual or life time maximums, stop loss will be important for protection for our clients. The question that define benefits, quite frankly our clients haven’t really thought about it. As we talk with them about it, they are still considering their own options. A lot of consultants are actively working with clients to share scenario planning with them. There will be some transition to that, but it really will be segmented on the type of business, and the salary ranges of what the companies pay their associates, because depending on salary range we’ll identify the subsidies that the individual receives. So the lower salary ranges would be more likely to consider it, but quite frankly, most of the clients haven’t given it enough thought at this point.
Wayne DeVeydt: The other item I would just highlight Dough, is that clearly I think we all know in the next five years we’ll see a growth in the fully insured, in the Medicate environment, you will see more members in the Medicare because of the influx and I think you’ll see a lot more wanting Medicare sup, because of what’s going to happen with some of the benefits around Medicare. Then of course we know ultimately the individual market will grow as we have insured moving into this population, as well as with the subsidies that are out there. But even to the extent that there is a decline in fully insured, it is important to recognize that WellPoint is $6.6 billion over capitalized on RBC right now on a state regulatory basis and so, to the extent you have that shift, we actually would have a significant free up of excess capital as well, that this currently there to support that fully insured basis.
Operator: Our next question comes from Josh Raskin - Barclays.
Josh Raskin – Barclays: In the press release Angela, I think you mentioned that as well in your prepared comment. The company was talking about strategic actions I guess to anticipate market changes, you have transitioned that to some of the non-blues businesses, and you sold the PDM. So I’m just curious at the end of day, your business mix kind of looks similar still. So first maybe, could you tell us just from a revenue prospective, how much of your business comes from on the commercial side, a large group versus sort of a small group under hundred and an individual. Then how should we think about that mix going forward in light of your strategic actions that you are taking?
Angela Braly: Let me talk about the strategy a little bit, and then I’ll have Wayne speak to the way that we report the revenue not gained by segment. Clearly, Josh you are right, we have been preparing ourselves, more focused on our ability to take advantage of whatever market place changes were to occur. Clearly we have the health care reform in marketplace changes now to implement, and I think that actually has been a great way to be prepared. I think scale is going to matter tremendously in the future. I think our brand is going to be incredibly important in the future, and our ability to collaborate and work with other Blue plans is critical to that. Our continuing ability of focus on medical cost and get the best in class solution, in the case of the PDM Express Scripts solutions for our customers. So I think in each of the segments that we are going to serve, including individual and commercial, small group, large group and Medicaid and Medicare, we are going to bring best in class capabilities. I do think we have the best assets to bring, and I do think it will be a very challenging environment for other particularly smaller company to navigate through. So I think we have made the right decisions going forward. As Wayne described, our Medicaid team, we have got the right leadership in places to deal with them as a potential growth opportunities as well. So Wayne do you want to get more specific about the break down?
Wayne DeVeydt: No, the only thing I would say and Josh, I know you are aware of this, but we don’t typically report operating results on large by business. But we have said very publicly always that the operating earnings off gain from our individual represents less than 10% of our total EBIT. So individual in and of itself is not been a significant driver and of course, that number is only shrinking further with us not getting appropriate rate increases in Maine and California. So the impact is not really all that significant there. We do think there will be a conversion though in the individual and small group markets, and we think that will be more driven by the health reform and the subsidies all get put forward. So I think overtime the real issue is, and so much what it is today, its whether or not we will get appropriate and adequate rates going forward. We think post reform environment that will occur and it’s really more of a short-term issue and it will need to occur for the health system to work the way it needs to work.
Josh Raskin – Barclays: Right, I apologize if I miss asked the question, but regardless I am not looking for earnings contributions, I am just looking sort of from a revenue prospective, how much are you booked as individuals; how much is small group defined under a hundred; and then how much of the rest of large groups? I think Angela you mentioned the PVM sale as sort of a relationship to medical manage, and I think in your prepared comments you talked about low double digit cost trends on the pharmacy which is actually higher than what we saw last quarter, understanding that the big transition was April 1, but I was just a little confused to see your pharmacy trends sort of improving a little bit quicker, may be you could talk that.
Wayne DeVeydt: Josh let me address the pharmacy trends real quick, and in fact let me address all the trends that you heard and we use a rolling 12 month, and because of the rolling 12 months remember first quarter of last year we were really, we didn’t have the H1M1 starting at that point, we didn’t have COBRA uptick occurring at that point, etc, so it is a little bit distorted and misleading, because of it being a rolling 12 month of that going away. We still think our full year trend at the end of this year will be completely aligned with our guidance that we provided back in February. So I would say everything is still in sync with what our expectations were. It’s just the way the math works on the rolling 12 month averages.
Ken Goulet: And Josh, this is Ken. I can address your question regarding the size of each of the segments. I won’t get into the specific revenue, but individual is just shy of 2 million lives. Small groups which we currently define as under 50 is about 2.4 million lives, Medicare advantage 472,000. What I would say is, in the as subsidies occur, one thing that the post reform world will do is put more insured into the market place. So there will be a much higher participation rate by small groups and individual going forward.
Operator: Your next question comes from Matthew Borsch - Goldman Sachs.
Matthew Borsch - Goldman Sachs: Hi I just wondered, could you just talk a little bit more and maybe I missed something here about the California individual rate increase. Specifically can you tell us what assumption is embedded in your guidance precisely in terms of when you expect that rate increase to go through or what you are assuming for guidance? Also just anymore you can tell us about, what are the points of discussion or debate around the rate increase? Is it similar to Maine, in which the question being, is well pointed title to earn any profit on that business?
Wayne DeVeydt: Let me state that at this point of time we have not seen a final issued report, so it is very difficult for me to comment on where this ultimately will land. What I can’t say though is because of the 30 day notice, we have no intension of putting forward rate increases for the numbers until we have closure on this, and we plan to continue to work with the department to get this resolved. So with that in mind, clearly, initially our assumption was really delayed to May 1, at a minimum amount because of the notice period. That is, at least one more month I will tell you we paid a little more conservatism in our guidance beyond that, because again ultimately we are not sure where this will land. So we think we’ve got an appropriate provision in the guidance for the potential delays and/or potential reductions in the rates, but until we can see a final report and actually continue to get closure on this, I really can’t comment beyond that, but I think we are probably considering this at this point.
Angela Braly: Matt the issue you raise is the issue we addressed a little bit earlier. We know that we have to, and the policy has to support sustainability in terms of this business. So that means that the rate increase has to be actuarially sound, they can’t be arbitratarily capped, because actuaries ultimately can’t certify to that, and that’s not sustainable over the long term. Originally the way that the law worked in terms of state regulation of insurance companies was to protect the consumer, and the question now is to how does affordability fit there with the issues of consumer protection from insolvencies and other important things. So we are very focused on making sure that overtime, over the long-term, keeping in mind those highly political situations occurring, that over the long-term that this is sustainable market place for us to serve individual members.
Wayne DeVeydt: And I don’t believe the state in anyway should it perform, does not think its appropriate or reasonable. It’s not able to be earn a fair return, and I think the goal is to comply with the law, and I think that’s what the commissioner is trying to ensure, but I will tell you because of the rate delays, we will lose money this year in individual book in California.
Matthew Borsch - Goldman Sachs: If I can just back to follow up on different topic; can you just comment on the commercial enrollment outlook for the remainder of this year? Maybe I’m reading it wrong; it looks like your first quarter came in better than expected. What’s pulling down the year end figure relative to your prior projection.
Ken Goulet: This is Ken again. The difference for now to year-end is an accelerated transition of the UniCare business. As you know, we transitioned. In UniCare and Illinois and Texas we have had conversations and agreements with other states to convert it to Blue in other states; that’s moving faster than we anticipated which is a good things, and that’s what’s built into our guidance.
Operator: Your next question comes from Christine Arnold - Cowen.
Christine Arnold - Cowen & Co. : On healthcare reform you said that you anticipate increased cost associated with reform. I know it’s tough to quantify exactly, what’s going to happen here. So if we even take the large flows off the table, what kinds of increases do you think reform might produce in cost, but of course after he passed on to consumers in terms of SG&A and medical costs, what categories and quantification you could give would be great.
Angela Braly: Christine, thanks for the question and I’ll began to answer that. When we committed to include in our plan individuals up to age 26 on their parents policy, you know younger members are usually relatively healthy. In many cases we don’t have the opportunity to collect that additional premium, because they are getting added to existing family coverage. So we made that commitment. It was the right thing to do. I think its serves our customers well and there will be a cost incurred in it, counter played in our guidance. We also know there is going to be a higher full year tax rate, because of the changes specifically around health care reform, around the deductibility of executive compensation, but we don’t know all the specifics around that, and what that might mean overall for the overall effective tax rate. There will be some operational cost for implementation and we are working on a number of those now that have a more immediate impact. Then as we think about going forward, absence the due point, absence the MLR, we may make investments in creating a scale that we know we have the opportunity to capture, and to position ourselves to serve as a members of future as they come through in 2014, and so we’ll get more specific as there is more clarity around implementation. Wayne you want to add anything to that?
Wayne DeVeydt: Yes, I think for those items Angela has laid out so far, I think that’s maybe about a dime for the year impact, but that doesn’t really consider the real significant IT, G&A cost, etc., until we get more clarity around some of the things that they are going to require and the pace they require will be implemented. We really can’t bake that in; it’s kind of a little bit of an unknown, so where we know things we have taken actions on. Again, as Angelo said, like retaining individual of age 26 going to tax rate, knowing the tax rate and the impact it’s going to have on it etc, we got an idea of what those are. Now clearly, prospectively we have to start pricing for some of this. So you have that short-term hit that we got in there now. We’ll start pricing for some of that going forward, but we really haven’t been able to completely size what the ultimate kind of GA technology costs are going to be. Also its going to important to know on health reform what those costs are going to be, because its going to very relevant around what those costs are going to be, because it’s going to be very relevant around what we need to invest, how those get classified if they have to go to G&A, and whether not then certain segments make sense still then. So until you get more clarity there, I wish I could give you a better answer, but we really need more clarity around the legislation.
Christine Arnold - Cowen & Co. : But what about insuring sick kids? I know it depends on how we do this if it's full guaranteed issue forever versus an open enrollment period. How are you thinking about the cost of that?
Wayne DeVeydt: Again, we need more clarity on some of the regs there. I men we estimated some different scenarios, but we really more clarity on the regs.
Operator: Your next question comes from Carl Mcdonald - Oppenheimer.
Carl Mcdonald - Oppenheimer: I was hoping you can give us some invisibility in to what your premium taxes looks like, if you could sort of range from sort of high or low across your states, thinking specifically about the group business, we’re even better if you got an average impact.
Wayne DeVeydt: Yes, I mean they vary. I’d say on average they are running to about a 2% premium tax rate. The problem is not all state have a premium tax. Some state actually have more of a reciprocal state tax which is a higher tax rate. It could be as high as the state tax rate is, but that’s base more on that profits in the state, versus premium tax based on gross revenues. So when you kind of take the averages about everything you blend it around 1.5% to 2%.
Carl Mcdonald - Oppenheimer: Then secondly going back to the rest ASO trend, do you have a sense of from a group size perspective what that’s looked like say over the last five years. Was it initially more the large employers consolidating the number of HML plans, moving everybody into ASO. Has it moved more down over the last couple of years?
Wayne DeVeydt: Carl, you actually nailed it. Initially there was a transition of fully insured ASO as large groups were consolidating their coverage’s, falling in HMLs and falling into one or two ASO plans. Over the last couple of years, it has gone more down stream and because of the potential fact, consequences to an earlier question, will there be more of transaition? There will be a higher tax on fully insured as we know under the health care reform lines and we’ll continue to go down stream. The market right now, customers are still looking for predictability in pricing, which is lets say get to a fully insured basis. More have gone in to the down stream level and I would say down to the 100 life group. Many will with high stop loss coverage or with solid stop loss coverage consider that.
Operator: Your next question comes from Scott Fidel - Deutsche Bank.
Scott Fidel - Deutsche Bank: I was just wondering if you could talk about your thoughts around Blue’s consolidation at this point post reform, and it just seems pretty clear that given the Blue’s focus on the individual small group market, just is there really a need or a capacity for 39 separate blues in the system, given the ability to take out administrative costs across the blues when he fold in all these duplicative, administrative structures. So just have we started those conversations with some of the other blues executives, and just given the changing environment, where do you think this accelerates consolidation amongst the blues?
Angela Braly: Scott, I think it’s a good question, because you know as I described earlier, scale is going to be incredibly important in this post reform environment. The ability to achieve that scale relatively quickly, and then have the strength that our Blue brand represents. Deep in our markets, we have great relationship and we are very local. So I would say there are two things that are occurring; one, we continue to always be a potential partner for other blue plans in terms of the true consolidation, but as we said before you’re seeing one blue consolidation; you see one blue consolidation in the applicant. Each of the blue plan has a different history regulates them and indicates what their capabilities and possibilities for consolidation or acquisition. The other thing though that’s really happening is, our ability to become more seen more, as blue plans are essentially integrating through things like comparison, where at one point it created this opportunity and now its really a shared opportunity around transparency. So there’s a lot of other potential opportunities for us to think about having a seamless back office essentially over time, but goal plans are our top choice with opportunity, we think sales can be incredibly important. We think we have a great track record and history of creating those synergies and sharing best practices, getting the SG&A savings through consolidation and I look forward to the opportunity now that healthcare reform has going through, to think about those opportunities more specifically.
Scott Fidel - Deutsche Bank: Okay and then just my follow-up question relates to the rate control authority legislation that’s being proposed at the federal level by senator Feinstein, and essentially takes the President’s proposal and tries to run with that. Just your thoughts on how much potential there is, that this could actually move at the federal level, and clearly its a very full legislative calendar for the rest of the year. CBO did score that proposal initially as essentially, being a nationalization of the insurance market, so clearly they would have to score very significant costs for the federal government, but just your views on how much potential this is to move forward here.
Angela Braly: Well, really we believe its not necessary. For one, we have the MLR provisions in the legislation that haven’t even been clarified at this point, but they have the effectiveness of holding us accountable with respect to how we are caring for our members. So whatever at your point, to create another regulatory authority to invest and that regulatory authority to go through that process, creates a whole another set of issues. We know rates has to actually sound to ensure that the health plans can pay the claims of their customers. That’s the philosophy of a health insurance market, and the regulation has been. Those safeguards exists in the state. The state has the authority to protect their consumers and to protect their consumers around affordability as well as the solvency of carriers who will be there to pay the claims. So, we think it’s an unnecessary requirement. I can’t tell you what I think about the political likelihood of it coming forward. I think its time for us now to turn to the real question about underlying healthcare costs, and what are we going to do under the model of shared responsibility, where we as payers for employers who are concerned about their costs as government, as hospitals and doctors, and suppliers, and pharmaceutical companies think about what the future affordability is of all these benefits, that we need to really be focused on that now. So with that I think, that was our last question. I want to thank you all for your questions. In closing I want to reiterate we are pleased with the start to 2010, and we remain confident in the future. There are opportunities and challenges presented by health care reforms, and we are preparing for market place changes by taking strategic actions to drive even stronger future membership growth, and enhance our services and capabilities while we create a lower cost structure. As the nations leading health benefit company our ongoing priority is to continue to meets the needs of our nearly 34 million members, and insure they have access to affordable quality health care. We’ll continue to do this while investing in our products and operations, and enhancing value for our shareholders. I want to thank everybody for participating in our call this morning. Operator, would you please provide the call replay instructions.
Operator: Great, thank you very much. Ladies and gentlemen, this conference will be available for replay starting today, Wednesday, April 28 at 11:00 am, Eastern Time and it will be available through Wednesday, May 12, at midnight Eastern Time. You can access the AT&T Executive Playback Service by dialing 1800-475-6701 for within the United States or Canada or from outside the U.S. or Canada, please dial 320-365-3844, and then enter the access code of 123543. Those number once again 1-800-475-6701 for within the U.S. or Canada or 320-365-3844 from outside the U.S. or Canada and again, enter the access code of 123543. That does conclude our conference for today. Thanks for your participation and for using AT&T’s Executive Teleconference. You may now disconnect.